Operator: Welcome to the Marsh & McLennan Companies Conference Call. Today's call is being recorded. Fourth quarter and Full Year 2014 financial results and supplemental information were issued earlier this morning. They are available on the Company's website at www.mmc.com. Before we begin, I would like to remind you that remarks made today may include statements relating to future events or results which are forward-looking statements as that term is defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to inherent risks and uncertainties, and a variety of factors may cause actual results to differ materially from those contemplated by the forward-looking statements. Please refer to the company's most recent SEC filings, which are available on the MMC Web site for additional information on factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. I'll now turn this over to Dan Glaser, President and CEO of Marsh & McLennan Companies. Please go ahead sir.
Dan Glaser: Thank you, Matt. Good morning and thank you for joining us to discuss our fourth quarter results reported earlier today. I'm Dan Glaser, President and CEO of MMC. Joining me on the call today is Mike Bischoff, our CFO and our operating companies' CEOs, Peter Zaffino of Marsh, Alex Moczarski of Guy Carpenter, Julio Portalatin of Mercer and Scott McDonald of Oliver Wyman. Also with us is Keith Walsh of Investor Relations. We had another year of outstanding performance in 2014 capped by a strong fourth quarter. We are a global growth company with many enduring qualities; talented colleagues, deep client relationships, a vast global footprint, depth of intellectual capital, a collaborative culture which seeks to harness our collective intelligence, a proven leadership team known for keeping its commitments and delivering results. At Marsh & McLennan we do important work enabling our client success by helping them address the challenges and opportunities of our time. The current global landscape is one brisling with increasing risks, but also opportunities. Cyber security, political and economic uncertainty in the euro zone, slowing economic growth in developing economies, plunging oil prices, historically low interest rates, a strong U.S. dollar all of these trends have gained momentum in the past six months illustrating not only the issues governments, multinational corporations and most organizations face but how the speed of change presents its own set of challenges. In an increasingly complex and dynamic world, C-suite needs answers and Marsh & McLennan Companies is ready to provide solutions around the globe. We made a distinctly positive impact on the businesses, people and societies we serve by providing guidance and support during critical moments. Our competitive positioning as a trusted advisor to our clients has never been stronger. We are at the forefront of industry innovation and thought leadership around important issues such as advising in aging population how to save for retirement, managing global healthcare cost, developing and supporting client growth strategies, assisting our clients and anticipating and managing risks, navigating a new regulatory landscape in financial services and helping our clients capture opportunities in this world of risk. Moving to our financial results, we had an excellent fourth quarter posting our strongest organic revenue growth of the year at 6% and adjusted EPS growth of 16%. The RIS margin rose 100 basis points to 21% and the consulting margin increased 120 basis points to 16.1%. We are proud of our strong financial and operating performance in recent years including our record of consistently higher earnings per share. Over the past five years, we have grown adjusted EPS at 14.5% CAGR and our consolidated adjusted operating margin improved almost 500 basis points. Let's spend a minute on our strong performance in 2014. Adjusted EPS increased 14%, adjusted operating income rose by double-digit for the seventh consecutive year and underlying revenue grew 5% with contributions from each operating company. Margin expansion occurred in both the RIS and consulting segments, reflecting the broad-based nature of our growth. This marks the fifth straight year margins have expanded in both segments. At risk and insurance service the margin rose 30 basis points in line with what we communicated throughout the year. Consulting's growth was robust, the margin increased to 160 basis points and resulted in record consulting segment operating income approaching 1 billion. It's a powerful story and there is more to the story than financial performance. We continue to enhance the value of Marsh & McLennan for our clients and our colleagues; we encourage innovation, creativity and challenge the status quo. We believe in the search to find the smarter way, our culture is vibrant, we're constantly building our talent with ongoing development programs, nurturing leadership capabilities and attracting the best and brightest at Marsh & McLennan. Fundamentally, our people are what set us apart. The progress we have made not just in 2014 but over many years is a direct result of our investments for growth. Since 2009, we have invested nearly $5 billion for growth and efficiencies. This includes CapEx of $1.9 billion, 85 acquisitions totaling $3 billion and an increase in our headcount of over 7,600 colleagues. Our acquisition strategy is focused on growth market, not only geographically but by segment, by line of business and by capability. We were active last year completing 22 acquisitions and spending approximately $945 million and our pipeline remains robust. We expanded our international operations with acquisitions in Australia, Belgium, Scotland, Canada, Chile and Panama as well as in South Africa with our investment in Alexander Forbes. Marsh & McLennan agency had an excellent year highlighted by the acquisition of Barney & Barney which established the agency's West Coast hub as well as eight other high quality agencies throughout the country. And we were pleased to host an Investor Day last March where we updated investors on MMC's long-term operating strategies as well as capital management initiatives. We're delivering on the commitments we made at Investor Day; we committed to long-term EPS growth of 13% and delivered 14% in 2014. We committed to double-digit dividend growth and delivered 10.4%, we committed to reducing our share count and reduced shares outstanding by 7 million, we committed to allocate 2.1 billion for dividends, acquisitions and share repurchase and utilized 2.3 billion. For more than 140 years, we have been anticipating the changing needs of our clients as the scope challenges around risk, strategy and people grows and changes, the demand for our services should increase. We fully expect to continue to deliver on our long-term goals although this will not be without challenges. Over the past five years, we have faced a variety of macro pressures including low interest rates, weak global GDP growth and FX volatility just to name a few. We delivered each year for shareholders underlying revenue growth, margin expansion and EPS growth. In 2015, we faced even more significant headwinds from the impact of low interest rates and a strong U.S dollar. Again we expect to deliver underlying revenue growth, margin expansion and EPS growth. Although our EPS growth in 2015 will be below what we achieved in 2014, we remain confident in our ability to grow EPS at a 13% CAGR over the long-term. With that let me turn it over to Mike. 
Mike Bischoff : Thank you, Dan and good morning everyone. In the fourth quarter, MMC delivered its 14th consecutive quarter of double-digit growth and adjusted earnings per share an outstanding record of sustained performance. Revenue growth exceeded the increase and underlying operating expenses for the 17th consecutive quarter. In the quarter GAAP EPS was $0.54 and adjusted EPS rose 16%. Risk and insurance services had a strong finish to the year. As revenue increased to $1.7 billion rising 4% on an underlying basis. Adjusted operating income rose 9% to $355 million. The adjusted operating margin expanded 100 basis points to 21%, the segments highest fourth quarter margin since 2003. Marsh's revenue was $1.5 billion increasing 4% on an underlying basis. The international division was up 5% and the U.S Canada division rose 3%. Marsh's revenue growth was driven by record new business exceeding 300 million in the quarter. New business was strong in the U.S, Canada, the UK, Peru and Africa. In a difficult operating environment, Guy Carpenter delivered 3% underlying revenue growth reflecting strong new business. On a geographic basis growth was led by U.S UK Facultative Asia Aviation and Marine. Turning to our consulting segment revenue was $1.6 billion with excellent underlying growth of 8% adjusted operating income increased 13% to $251 million and the segments market expanded a 120 balance sheet to 16.1%. Mercer’s revenue increased 5% on an underlying basis to $1.1 billion with all major geographies contributing. Investments had 12% underlying revenue growth retirement grew 5%, health 4% and talent 2%. Oliver Wyman revenue reached $460 million underlying revenue growths of 15% was exceptional exceeding even our own expectations all industry's sector contributed to growth in the quarter. With geographic strength in North America and Europe. In summary, MMC produced another strong quarter both from a revenue growth and earnings standpoint. And the results for the year were excellent as well. With strong underlying revenue growth substantial margin improvement and adjusted EPS growth of 14%. As expected, investment income was de minimis in the fourth quarter it should also be de minimis in the first quarter. As we highlighted on our last two earnings call, investment income in the last half of 2014 was expected to be offset by cooperate initiatives Additional cooperate spending in the third quarter of $13 million and $11 million in the fourth quarter essentially offset investment income over the second half of the year. Going forward, we anticipate the quarterly corporate expense should approximate 45 million. We issued $800 million of debt in September and use the proceeds in October to fund $630 million of debt obligations and cost for the early extinguishment of this debt. We successfully utilized excess cash in 2014. This resulted in cash decreasing from $2.3 billion to $1.95 billion at year end. With $1.3 billion held internationally $332 million for nine acquisitions and investments was the cash utilized in the fourth quarter also including a $166 million for the second tranche of Mercer's investment and Alexander Forbes. Returning capital of these shareholders remains the priority. In the fourth quarter, we utilized $154 million for dividends and $200 million to repurchase 3.7 million shares. And for the year cash deployed included $945 million for 22 acquisitions and investments $800 million to repurchase 15.5 million shares and 583 million for dividends. Annual dividends paid per share increased 10.4% last year. Looking ahead we remain optimistic about the underlying operating performance of our businesses. And our ability to deliver strong financial results over the long term. This year our results will be affected by macro-economic headwinds that have grown substantially in the last several months specifically the continuing decline in interest rates thus impacting our GAAP pension expense and the strengthening of the U.S. Let me make a few observations regarding our global retirement plans. Pension accounting considers many factors in addition to the effect of discount rates and asset returns GAAP pension expense reflects projected salary increases, mortality rates, demographics, inflation and contributions. Cash contributions to our global pension plans which were $181 million in 2014 should be approximately $190 million in 2015. At the end of 2014, average interest rates used to measure our pension liabilities declined from the prior year by approximately 100 basis points not only in the U.S but throughout the world. We expect retirement expenses for MMC overall including both defined benefit and defined contribution plans. The increase by approximately $125 million in 2015. We are currently implementing actions to mitigate all of this expense increase. The planned action with the greatest impact representing the substantial portion of our mitigation efforts to affect the post 65 retiree medical reimbursement program in the United States. This benefit was eliminated for most colleagues in 2005. As a global multi-national company we are used to dealing with foreign exchange volatility. For example FX headwinds in each of the last three years negatively impacted EPS by $0.04 to $0.05 each year. As seen from our strong financial performance over this period, we absorbed this foreign exchange headwind. The significant strengthening of the U.S. dollar in recent months relative to the rest of the world's currencies will have a greater impact on us this year. We recently updated our foreign exchange forecast which covers more than 60 currencies including the pound, euro, Canadian dollar and the Australian dollar. If the dollar remains where it is today, operating income will be negatively impacted by approximately 120 million or $0.15 per share, well beyond what we absorbed over the past three years. We anticipate that the magnitude of the pension and foreign exchange headwinds on a year-over-year basis is by far the greatest in the first quarter. Our efforts to offset these two macro headwinds should be the most impactful in the first quarter as well. In conclusion, even though EPS growth this year will be below the growth of the past several years, we remain confident in our ability to achieve our 13% EPS growth target over the long-term. And with our growing cash flow, we expect to deliver double-digit dividend growth and to reduce the share account this year. With that, I'm happy to turn it back to Dan.
Dan Glaser: Thanks Mike. And Matt, we're ready to go to Q&A.
Operator: Thank you, sir. [Operator Instructions] And we'll go first to Jay Gelb with Barclays.
Jay Gelb: Thanks. First, just wanted to follow up with Mike on the two major headwinds you outlined for 2015, retirement expense and impact of a strong dollar. Are you saying that the full impact that you outlined, $125 million retirement expense and $0.15 headwinds from a stronger dollar, that there will be mitigating factors to those in 2015? So it's not that full impact that will hit the bottom line?
Dan Glaser: Yes I'll take that Jay its Dan. Now what we tried to outline in our script we were saying to you that in terms of the pension expense that we are having planned actions to mitigate all of the pension expense headwind and so that's something that you don’t have to consider as having an impact on us, but we did point out that foreign exchange and the dollar in particular strengthening has much more of an impact than it would typically have in a given year. I mean when we look at FX as Mike was saying over the last three years, it's been $0.04 or $0.05 negative per year. The reality is over a 10 year period, it's an absolute wash and so it has no impact either way. As the U.S. multinational that's dollar-based they then operate in 130 different countries clearly we're going to always -- FX is always going to be a part of our results, but this is a higher level than we would seek to mitigate by taking operating actions. So we do expect foreign exchange ultimately to have a negative impact on our EPS for 2015.
Jay Gelb: All right. Thank you for clarifying that. Now, to follow up to that, understanding that you're saying MMC is unlikely to generate the type of 14% adjusted operating EPS growth that was delivered in 2014, but you're still committed to 13% long-term -- so in terms of what that means for 2015, do you still think you can do double-digit adjusted EPS growth this year? 
Dan Glaser: I mean at the end, we don’t give EPS guidance and so I don’t -- really don’t want to go down that path. I mean the only guidance we've given which we outlined on Investor Day last year was that we believe over a long period of time that we would deliver a CAGR of 13% a year and we still believe that. So any shareholder that is a shareholder over a long period of time, we are committing to a 13% CAGR on EPS. There's a lot of moving parts with respect to what generate EPS, it's way too early in the year for me to even have a view on that, I mean a lot has to do with top-line growth et cetera. And I would want to point also that on a constant currency basis if you looked at our business on that basis, we'd still be comfortable with saying that in 2015, we would deliver something akin to our long-term commitment of 13%. Next question please.
Operator: I'll move for our next question from Larry Greenberg from Janney Capital.
Larry Greenberg: The recent government budget proposal had some corporate tax rate suggestions. I'm just wondering what you're thinking about the tax rate prospectively. Obviously, if some of these proposals were to become law, it would certainly help. But maybe along the spectrum of where we are today to some of these potential positives coming to fruition, how you are thinking about the tax rate going forward.
Daniel Glaser: I will start with that and then I will hand it over to Mike. I do think that we've been watching the news in Washington and yes we start from the basis of -- well it doesn't appear that our tax situation can get worse as a country, so therefore we can only get better from here, so we're optimistic that that could apply. For a number of years now, we've actually been achieving double-digit adjusted EPS growth by actually improving our core business. And one of the reasons we are so focused on that not just because our leadership team is driven to achieve double-digit growth in adjusted EPS over the long-term, we also have ground to make up against many of our competitors who have tax positions which are superior to ours. So we have to develop the same kind of levels with cash flow working through operations because the U.S Tax Code is not a help. I mean specifically with regard to the U.S Tax Code our overarching view is that it needs to be competitive in order -- it needs to be reformed in order to be competitive with the rest of the world and currently it is not. So Mike you have anything to add to that?
Mike Bischoff : Yes, thank you Dan. Obviously with regard to corporate tax for in the U.S we would be very pleased to see a lower overall corporate tax rate. However, the other thing that's very difficult for us is the U.S multinational company is bringing our international earnings back into the United States for investments and returning capital to shareholders but anything that can be done to alleviate that and help us make U.S investments and return capital to our shareholders we would certainly be in favor of. We do not count on reform until it's implemented and so in looking at your question on forward guidance I would point out just make a few observations -- point out a few things. First our overall tax rate has averaged 30% over the last five years and so that's probably a very on an adjusted basis and that's probably a fairly good number to model for 2015 until some legislative change occurs. We're just as in -- Scott pointed out in the fourth quarter it's lower on an adjusted basis it's about 29.5% and on a GAAP basis 27.7%. On the GAAP basis that's really due to the U.S tax treatment for the debt extinguishment. So, on a more normalized basis probably around 30%. 
Larry Greenberg: Thank you. Then I know you gave your exchange enrollee numbers after the third-quarter report. But I'm just wondering if Julio might just bring us up to date on how things were looking more towards year-end, beginning of the year, and just what's going on there.
Dan Glaser: Larry we're only going to give a formal update on the numbers once a year but having said that I am sure Julio has some color that he can add to the exchange, so Julio?
Julio Portalatin: So as we reported it back in October we're very pleased with the progress that we're making in our sane strategy, we reported north of 1 million lives that had summed up between active and Medicare and that continues to be robust in terms of pipeline that's building. Many of the clients that we had as you know in the middle market space but more importantly even for us 5,000 and above number of lives we actually doubled the amount of clients that came to us this year, last year was about 6%, this year is about 14%. So are beginning to see the edging up let's say of the type of clients that have a more volume in terms of employees. Now it can be said also that if you compare that to middle market larger market clients or jumbo clients have been a bit slower to make this transition over but we're beginning to see some of it got to move over until high prices of employees. And that’s important because middle market clients well they continued increase we certainly want to have our share of also the jumbo market as that continues. So the pipeline is robust it's looking good for 2015. All of the numbers that we had projected in terms of number of lives per employee have come in right about what we expected, all of the savings that we also projected up to 15% are coming in right around what we expected, so, so far so good we're very excited about the prospects and continue to invest in our marketplace strategy for short, medium and long-term success. 
Operator: We will go next to Kai Pan with Morgan Stanley.
Kai Pan: Good morning. Thank you. First question, Dan, you mentioned that the 2014 capital management plan, that $2.3 billion exceeded the original plan, $2.1 billion. Do you have an update for 2015? 
Mike Bischoff: Yes Kai, I would say that the $2.3 billion that we committed to an utilized in 2014 it will be at least that amount in 2015. 
Kai Pan: So in term of breakdown between, like, return to shareholders and acquisition, would that -- similar to what is seen in 2014? 
Dan Glaser: Acquisition we don’t budget for acquisitions. We have a pipeline and we worked the pipeline because so there could be a lot of variability with respect to acquisition. So it's a hard thing to peg right now I mean I would say and put it in the context we are committed to reducing our share account each year and we are committed to double digit increases in our dividend and so on that basis you can pretty much take what we did last year and extrapolate from there.
Kai Pan: Then follow up on the acquisition front their recent press release that you might be interest in the UK broker. I understand you couldn’t comment on specific deals. But could you talk about your acquisitions strategy as part of your global growth strategy and reach markets with particular good markets or a geographic year is to the most of your interest. 
Daniel Glaser: Sure and I'm glad you recognize that we can comment on any specific deal or any speculation that can be out there from time to time. So I'll talk a little bit about acquisitions and if Peter, Julio, Alex and Scott want to add anything then we feel free. So first of all we have a philosophy right and our philosophy meanings that there is no budget or time tables acquisitions we're focused on quality above every other factor we prefer companies that are growing faster than we are they've traded a multiple below us and where we can see that we can improve their business or they can help us by adding some capability or geography that we currently don’t have. So somehow that they're going to make us better and generally we develop relationships with people highly talented people overtime and that’s why it's a slow, gestating pipeline I suppose to something that’s rapid. We're always as I mentioned looking at quality cultural fit consistent with our overall four pillar strategy focus on what kind of talent would be coming into the organization and how it makes us better and when all those things aligned usually economics work out. So we rarely participated in options we've been a disciplined acquirer and that maybe one of the reasons why we don’t acquire all that many things compared to the numbers that we look at because we're disciplined about our approach. We're not limited by geography as you can see we've committed over the last several years most of our acquisition capital has been in the United States as we have follow through on our agency strategy in the U.S. But fundamentally we're very interested in international acquisitions and we're looking from both from geographic basis from a line of business from a capability basis all kinds of different types of companies. And so I would say that our pipeline is robust. And folks you have anything to add, Peter you want to add to that. 
Peter Zaffino: Of course very consistent with what you just said Dan its quality each companies that have a track record of growth once that have geographical compliments. And we also are a very disciplined on our segmentation strategy. We like to be patients I think that’s evidence in how we pursued agencies Marsh & McLennan agency we're now entering our sixth year in the journey. But we feel very proud of the high quality agencies that we've been able to acquire. We integrate a group of best practices and so not only do we grow through acquisition we've been growing organically and have a very strong pipeline and we always are very committed to investing in business after we acquire them. So we like the SME space I can't see its expanding across the world overtime but again will be patient and try to find the right fit.
Daniel Glaser: Julio you have anything to add to that.
Julio Portalatin : Again very supportive of Dan's comments in terms of what our umbrella is as we go after acquisitions. But you probably took notice that in 2014 we had an increase of acquisition opportunities that came versus way of course starting with the Alexander Forbes investments that we made just north of $300 million in addition to that we've made the Jeitosa Group acquisition which is significantly important to us for work day implementation in both Europe and the U.S. And we've made the strategic acquisition for HCM which is an alternative investment base that we want to expand because we opportunity there and I'm sure you see the numbers that investments management business is really growing for us. So we're going to continue and concentrate on were the growth areas are and where the opportunity for growth is. And that is our number objective right now and all the culture issues are taking care et cetera we're looking for expansion of growth opportunities geographically and within segments.
Operator: We'll go next to Dan Farrell with Sterne Agee. 
Dan Farrell : Hi, good morning. A question on the pension costs and then the offset in the medical costs that you said. Is the medical cost offset a cash benefit? The reason I'm asking is your cash pension costs really aren't moving much at all. So it's really only on a GAAP basis that pension is moving. But I'm wondering if the offset that's helping the GAAP is a true cash benefit. 
Dan Glaser : No it's accounting in both ways. So both the pension headwind and offset are both accounting items. 
Dan Farrell: Okay. Then just switching over to your comments at the beginning, where you really talked a lot about the difficult and challenging environment we're in globally and how that's creating a lot of work and projects for you. I am wondering with regard to the Consulting segment, particularly in Oliver Wyman. Very good organic results; tougher comparisons. But do you see an environment where you're getting increasing flow of projects and other revenues that could keep overall Consulting organic growth at a healthy level? 
Dan Glaser : Scott, you want to take that.
Scott McDonald: Yes I'll talk a little bit about Oliver Wyman, but keep in context this is the smaller part of our consulting segment, I mean we have a good fourth quarter finishing off a strong year overall. And that was driven by pretty robust amount across sectors and across regions and in fact a little more robust than we'd expected. But we do expect consulting demand across the world to grow slightly faster than GDP in the years to come as the world remains pretty complex and we think the successful top-tier firms will grow faster than that as they take share from others and we're squarely in that group, so we expect to grow faster than that. I think the numbers we grew out in 2014, again we wouldn’t expect to see that in 2015 and the best guidance I can give there is still mid to high single-digit growth rates for our business.
Dan Glaser : Sure, next question operator.
Operator: We'll go to Elyse Greenspan with Wells Fargo.
Elyse Greenspan: Hi, good morning. I was hoping to spend a little bit more time just going back to the capital plan and your outlook. Does that assume -- take into account potentially taking on any more leverage during the year? And then can you just update us on your view on just more long-term how much leverage you would potentially look to add? 
Dan Glaser : Sure I'll start with that and then I'll hand over to Mike. Clearly and as we discussed at Investor Day and after Investor Day our view overtime is to reduce the cash on the balance sheet somewhat and increase our overall level of leverage as well and put that extra amount of money to work and so if you look at year-end 2014 versus year-end 2013 we increased our debt by 433 million and we reduced our cash by 362 million and so that's part of a strategy and so I think you'll see that on an ongoing basis and emphasis on reducing cash on the balance sheet and increasing our overall level of leverage but Mike what would you add to that.
Mike Bischoff: Yes Dan I probably can't add too much but just to start with premise, it's nice that we have four operating companies that generate increasing amounts of not only revenue and earnings but cash flow, so it's a very nice position to be in as a Chief Financial Officer to work with my colleagues in these operation. So the first premise is that we expect our operating cash flow to go up in that regard. Dan I would completely agree with you, we used about 350 million of excess cash that was on our balance sheet. We're certainly going to try and do that probably in the same magnitude this year, limited a bit to what international acquisitions we may see and our ability as I mentioned earlier to bring cash back -- international cash back into the U.S. in a tax efficient manner, so in that regard we're looking to fairly robust year in 2015 above what we did in 2014.
Dan Glaser : Any other question, Elyse?
Elyse Greenspan: Yes, thank you. If we could also just flip and talk a little bit about what you are seeing at Guy Carpenter. I know the growth has been steady towards the end of the year. We've continued to see growth there even while we continue to talk about headwinds in the reinsurance pricing environment, which we've heard intensified during the January 1 renewals. If you can just comment on what you are seeing there, and just a little bit about your outlook for 2015. Thank you. 
Dan Glaser : Sure, Alex why don’t you take that?
Alex Moczarski: We're really pleased with the year. But also, considering that we were flat in the first quarter, to be able to end up with 2% underlying growth for the year is good but it's now been six years where we haven’t had a single quarter that's been negative just one flat the rest good. So we're leaning forward and I'm really proud of the team and what they do that in respect. The fourth quarter from a point of view of rating not terribly important because we don’t have a lot of renewals there we had high retention and good new business and our outlook for 2015 is somewhere between slight and moderate growth as we continue to have a good pipeline of new business and retention rates are high, due to, I believe good service and innovation.
Dan Glaser : Thanks Alex, next question operator.
Operator: We'll go to Meyer Shields with KBW.
Meyer Shields: Thanks. Good morning. I'm to follow up on that topic. Is there any direct or indirect benefit from the recently increased amount of consolidation that we are seeing in insurance and reinsurance?
Dan Glaser : Yes I mean I'll just take that I mean at the end of the day the consolidation in both insurance, reinsurance and insurance broking is really a 25 year story and so there's been new capital formation, there's been consolidation and that's kind of story continues. We exist to serve our clients and so having a robust competitive market with a lot of choices is good for our clients and good for both Marsh and Guy Carpenter and even with the recent consolidations and announce consolidation, there is a significant level of competition in the insurance industry at multiple levels and multiple fronts. And so I don't there has been any direct or indirect impact on our business as a result nor do we plan for there to be impacts as a result of consolidation in the insurance sector. 
Meyer Shields: Okay. And I was hoping to get a little bit more color on the risk and insurance organic growth in Latin America?
Dan Glaser: First of all it's really a Marsh question I suppose to a broader risk and insurance services question because they don't specifically outline Carpenter on a Latin America basis. Latin America is one of our strongest growth regions and has been for quite a period of time as a company -- as a full company. One of the reasons why if you look at our acquisition strategy and then look at 2014, we made acquisitions in Peru, Panama and the Dominican Republic, so we're absolutely committed to Latin America as a region and we see it as having tremendous growth potentials in the future. Peter you want to take the specific question. 
Peter Zaffino: Yes, sure thanks Dan. So we had underlying growth of 3% and it certainly is not reflecting its historic growth rates on a quarter-to-quarter basis. But there is a few things that happened in the quarter, so I will try to give a little bit more detail. One is we had a challenging comparable from the prior fourth quarter which had 13% growth, we had some one-time items from prior year acquisitions that didn't repeat in the fourth quarter of 2014, we had significant non-recurring business so some of the really strong business we saw in 2013 did not recur and we're seeing some impact from the economic slowdown. But as Dan said if you take a look at the full year we had 10% growth it's going to be lumpy from time to time if you look at even international we had 5% organic growth, if you look at each quarter there have been different parts of international that have contributed 130 countries and so we think it is very well balanced, it's a major contributor to what's in terms of top-line organic growth as a percentage basis but just putting context it's about 7% of Marsh's total revenue. 
Operator: We will go next to Chris Cliff Gallant, Nomura.
Cliff Gallant: Thanks for taking the question. Mike I was wondering you mentioned that I believe in talking about the pension calculations that globally you are assuming an interest rate that's down a 100 basis points now and I was wondering on an absolute basis what that number is today?
Mike Bischoff : Okay, thank you, yes we're not assuming it is actually based upon where interest rates are at the end of 2014 which is used for the measurement for pension going forward. And just an example the discount rate was roughly 5.3% at the end of '13 in the U.S, it was 4.3% at the end of '14. In the UK it was 4.6% at the end of '13 and about 3.65% at the end of '14; those are the two largest plans. But if we look at it throughout the world it was unusual that in almost every geography we dealt in whether it was Canada, Ireland or what have you interest rates across the maturity ladder that you use for pensions which is more mid to longer-term were down a 100 basis points. 
Cliff Gallant: Okay. That makes sense. The second question I had was just on the -- when I look at the brokerage margin for the full year, the 22.4% -- very good number and improvement over the year. If we were to set aside the impact of some of the macro things like interest rates and foreign exchange, I was curious: how would mix change affect that number as we go forward? In terms of where you're growing, where you're not, and so forth. 
Dan Glaser: Well let me just take the question broadly as the margin question. As we've said couple of times before well margins improve in our organization as an outcome of us growing revenue at a faster rate than we grow expense. We're most focused on revenue growth and organic revenue growth in particular and increasing our earnings. And the margin improvement sort of comes a little bit further down on the Hit Parade. Having said that for both RIS in the quarter up a 100 basis points and consulting up 120 bps and MMC for the quarter being up 70 bps points and for the year being up 70 bps we're very pleased with that performance, we think it's strong margin performance and our 7th straight year of margin improvements and the 5th straight year that our margins were up in both segments. And so we feel very good about our margins and I just want to say that on a going forward basis and in particular for 2015 we believe we can improve our margins notwithstanding the headwinds that we're facing, we believe that we will improve our margins in 2015 in both segments. 
Operator: We will go next to Vinay Misquith with ISI. 
Vinay Misquith: The first question is on pensions, just wanted to clarify that there is no impact on cash paid for pensions.
Mike Bischoff: It is a very limited impact on cash not material to the organization. I think that’s $9 million or $10 million.
Dan Glaser: I indicated it in 2014 our contributions into the pension plans were roughly 180 million and we're expecting this year for it to be roughly 190 million.
Vinay Misquith : Okay. What level of interest rates should we see that would take the contributions higher?
Dan Glaser: What we are going to do is the pension issue of one year at a time. I'm hoping that’s it sort of that you have seven years of fam and seven years of fees to them ready for my interest fees at some point. So bear in mind what generally when something a headwind for you and is macro it can turn around and become a tail wind and it could last for a long period of time. And so obviously the many analysts how are much more experts and I for several year have been predicting movement towards higher interest rate. And there is been significant amount of macro factors that have inhibited that move. But ultimately we feel over time that interest rates over several years are more likely to higher than lower. But Mike you have anything to add.
Mike Bischoff : And Dan I would start with you’re the same promise that you did which is we will only deal with it year by year. But as I said there is many factors that go into the issues with regards to not only pension expense but with regards to funding requirements and one of the main things is our assets and however assets done. And the nice thing that our asset performance last year was very substantial growing not only in the U.S but very strongly in the UK and around the world. And so we had very good asset performance. So not withstanding that what happens is the liability goes up with regards to interest rates most at the end of the year which we think to some extent is transitory of course many firms now six years and over a low interest rate environment would use the word transitory. I wonder what deterioration of that would be. But that said is really with regards to the asset level and the performance. But based upon what we're seeing today we're not anticipating a more change in our cash contribution into the pension plans but as Dan said we'll take it year by year.
Operator: We'll go to Thomas Mitchell with Miller Tabak.
Thomas Mitchell : My first question is -- I think it would probably be for Scott. And that is, there's been a tremendous amount of turmoil in the European banking sector over the last number of years but more recently -- the Italians are apparently going to reorganize totally and so forth. Is that something that either represents an opportunity or has already represented a significant opportunity for the Consulting side? And if it has, how does it look from here? 
Dan Glaser: Well you're right Tom that is probably on the consulting side geared more to Scott then to Julio, Scott you want to take that question.
Scott McDonald : Yes I guess I just make a couple of points some. But the first is I mean I think there will be continued restructuring in the European banking sector and hopefully as they strength in each of the domestic and overall regional banking markets that will help support some growth in the Europe in the future. I think it has already represented a significant opportunity for us because we do work with the private and public sector and we've been heavily involved in the restructuring of the industry. And it will continue to represent a significant opportunity for us in the future. I don’t expect that to change for a number of years. So this is going to take a long time to restructure the sector.
Thomas Mitchell : Okay. Thank you. That's very helpful. Then a separate kind of follow-up is that -- is there something not similar to that at all, but separately are you seeing interest in the US banking sector -- either coming from foreign interest or domestic -- that would indicate an increase in either restructuring or M&A activity? 
Dan Glaser: The U.S is a little different in Europe and they restructured earlier in the crisis and it's a more stable system now I think with less solvency and capital issues. But it's a factor that has most of you on the call no enormous growth challenges in the years ahead. So I think there will be it won't be what necessary in Europe which is wholesale restructuring of the banking sector. But here there is got to be refinement for the banking model and that could involve people from outside the U.S or from inside the U.S but it also represents a pretty big opportunity for us.
Operator: We'll go to Paul Newsome with Sandler O'Neill. 
Paul Newsome : Good morning and congratulations on the quarter. I wanted to know if we've seen any changes in the structure of contingent commissions recently, under the thesis that typically when you start to see a softer market those structures change in terms of what they reward, whether it be profit-sharing versus growth versus new products. Any changes that you've seen yet? 
Dan Glaser : I'll speak broadly and then hand over to Peter. I would look at this subject more broadly as carrier revenue streams. And there's always certain parts of our company where we actually earn contingent commission, but clearly there's carrier revenue streams for all brokers in multiple countries. The most important thing around carrier revenue streams is principles around them of putting clients' interest first and being transparent, so Peter you have something to add.
Peter Zaffino: Yes Dan there has not been much change in terms of the question on contingents or insurer revenue. As you said, we have been working very hard at Marsh to lead the industry in transparency and disclosure, and avoid business practices that have conflicts of interest. So we have not seen any increases or demands of changing how insurer revenue remunerates brokers.
Dan Glaser: Thanks, Paul any other question?
Paul Newsome : Almost an accounting question. Does it matter financially with any of your debt covenants or anything in regard the book value impact of pension and FX that runs through, versus the cash and the GAAP EPS impact? 
Dan Glaser: We'll follow it up to make sure we give you a precise answer with Keith, but nothing that I'm aware of. Next question operator.
Operator: And we'll go to Mike Nannizzi with Goldman Sachs.
Mike Nannizzi: Thank you. Just one question; most of my questions were answered. But the Investments Consulting business within Mercer, that's been growing, underlying double digit for some time now. Can you talk about: what is your expectation there? What's driving that? Is it some of the pension items, or something else that we just generally see in the market? How should we be thinking about that line? Thanks. 
Dan Glaser: Sure, so Julio.
Julio Portalatin: Growth this quarter for investments was driven by new money from clients' wins and market performance for greater regulatory oversight and governance requirement it also led to increased demand for de-risking advice, insurance company buyout solutions and implementation advice. So we did cross the 100 billion mark of assets under management in the third quarter and we ended the year over 115 billion in assets under management, so the equity market obviously also help us as some of that is on a fee-based and in relation to the performance, but I will also say that we monitor that very carefully so we can control volatility and much of our growth also comes on a fix-fee basis. And we have a pretty robust investment business across the globe, it's not just in the U.S. right it's about one-third of it that actually ends up being our financial services business in Australia, about one-third of it is investment consultancy which is mostly in the U.S. and Europe and then we have the investment management business which you're referring to onto the assets under management. So we continue to have a pretty robust growth trajectory there, good mix in business growing with great ambition for the future, we'll continue to invest as well.
Dan Glaser: Mike, any other question?
Mike Nannizzi: Thanks. Yes, so just one follow-up, Dan, I guess, on the capital management front. The one thing I remember you mentioned from Investor Day -- I thought it was a very earnest comment about you're an operator, you've come into the role of CEO, and thinking about deployment and managing capital and using earnings, buybacks relative to earnings. Now the one thing where Marsh is very different than others is very high interest coverage, very, very low leverage. That clearly is a lever. Is that something that may be an evolution as well, as you think about managing for optimization? Maybe, at what point -- and maybe you are already; I'm sure the conversation is happening. But just trying to get an understanding of that. Because it certainly is an outlier relative to others. Thanks. 
Dan Glaser: Yes, sure. Most leaders are outliers on one basis to another you don’t get to be great by following a path and so we do set our own path at Marsh & McLennan and part of that path is we're a balanced organization when you look at our return of capital to shareholders it's via acquisitions and growing our company for the betterment of shareholders and clients and colleagues overtime through repurchases and through dividends and so you will see us deploying more levels of capital and as Mike indicated the 2.3 billion that we did last year will almost certainly be higher in 2015 than it was in 2014 so we're very much committed to returning capital to shareholders and but also a very balanced organization in terms of our strategy and our thinking of the ways that we return that capital so I'd hope that answers your question Mike. Operator I think that might actually do it and let's -- we could take one more question I think other than that I think the conference should be over.
Operator: And so we do have a follow-up question from Larry Greenberg with Janney Capital.
Larry Greenberg: Thanks for the color, just on the FX being most impactful in the first quarter. It seems intuitive that it would almost be like a straight-line projection downward in terms of how impactful it will be over the course of 2015. Is that a fair assumption?
Daniel Glaser: No it's not because it really is a mix of business issue. As an example if you look at RIS some of the European renewals happened in January and January 1 is the biggest date of the year in Continental Europe, June 30th is the biggest date of the year in Australia and so it does vary on that basis although the largest portion of the impact would happen in the first quarter. But Mike do you have something to add. 
Mike Bischoff : Yes just had additional color as Dan said approximately half of the impact will be felt in the first quarter for the reasons that Dan articulated. And then if you look at over the course of the entire year whereas risk and insurance services will feel it most dramatically in the first quarter, over a course of entire year consulting will feel it a little bit more than risk and insurance services. So we will get through the big year-over-year headwind in the first quarter and then it will tail off a bit but it will still be fairly robust against us but like I said about half of it in the first quarter. 
Dan Glaser: And operator and all those on the call thank you for joining us on the call this morning. I just want to reaffirm that I am tremendously optimistic about our future, our core operations are very strong, I feel privileged to lead this great company and I would like to thank our clients for their support and our colleagues for their hard work and dedication in serving them. Thank you. 